Operator: Good morning. My name is Amy, and I will be your conference operator today. At this time, I would like to welcome everyone to the RumbleOn’s Second Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Whitney Kukulka, Investor Relations. You may begin your conference.
Whitney Kukulka: Thank you, operator. Good morning, ladies and gentlemen. Thank you for joining us on this conference call to discuss RumbleOn’s second quarter 2019 financial results. Joining me on the call today are Marshall Chesrown, Chairman and Chief Executive Officer; and Steve Berrard, Chief Financial Officer. Full details of our results and additional management commentary are available in our shareholder letter, which can be found on the Investor Relations section of the website at investors.rumbleon.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the company’s corporate website. This conference call is the property of RumbleOn and any taping or other reproduction is expressly prohibited without prior written consent. Before we start, I would like to remind you that the following discussion contains forward-looking statement including but not limited to RumbleOn’s market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in RumbleOn’s periodic SEC filings. The forward-looking statements and risks in this conference call including responses to your question are based on current expectations as of today, and RumbleOn assumes no obligation to update or revise them whether as a result of new developments or otherwise. Also, the following discussion may contain non-GAAP financial measures. For a reconciliation of these non-GAAP financial measures, please see our shareholder letter, which will be posted to our Investor Relations website. And now, I will turn the call over to Marshall. Marshall?
Marshall Chesrown: Thanks, Whitney. We’re happy to report record revenue and unit sales in the second quarter, significantly above our previous guidance. If you have not done so already, I’d encourage everyone to review our shareholder letter, which was posted to our Investor Relations website yesterday. In addition to providing our second quarter financials, operating results and business outlook, we also outlined our plan to reduce net loss by 35% to 45% in the second half of the year from first half results. My comments today will reiterate some of our key objectives and execution strategy as we make improvements to achieve sustainable, profitable growth. Steve will then provide further details on our financial results and then open the call to further questions. In the second quarter, we generated over $270 million in total revenue on nearly 14,000 units exceeding our expectations. on the heels of a landmark first half of the year, we are turning our focus to improving our cost structure and executing our multifaceted plan to aggressively accelerate revenue and unit sales in the first half of 2020 while making significant strides to profitability. We are already the premier re-distributor in powersports and we expect powersports to continue to grow as we have many exciting initiatives underway to assure our dominance in the quarters and years to come. Powersports has proven to be a great incubator for testing ideas and strategies never seen before in the vehicle market. When the early results are compounded to the much larger automotive market, we expect to see massive growth due to the sheer size of the automotive industry. Our powersports business is showing consistent quarter-over-quarter improvements across almost all metrics. We are on a clear path to leverage our experience and data to create the best automotive online marketplace as well. Similar to our learning curve in powersports in the early days, we are quickly accumulating data on the automotive side of the business that is driving early improvements to the business model. As an example, in Q3 last year, we reduced the valuation of cash offers on powersports made to consumers by approximately 10% and we also terminated low value acquisitions to improve inventory quality and margin expansion. This is the type of testing, assessing and readjusting that is critical to future performance and we are committed to leveraging data to support ongoing business improvements. We are making intentional changes to automotive in Q3 that will set us up for even more success in the future as we scale. The pre-owned vehicle market is massive, based on today’s market size; just 1% market share in the automotive market alone would represent over 390,000 units annually and nearly $8 billion in revenue. We are confident that we can reach more than 1% of the pre-owned vehicle market over time and will do so profitably. Through a combination of gross profit per unit enhancement and SG&A leverage, we expect to reduce our net loss by 35% to 45% in the second half of 2019 as compared to the first half. Management is confident that the benefits of refinements and improvements to the business model made in the second half of 2019 will garner tremendous rewards as we move into 2020. We are providing the same revenue guidance for Q3 that we provided for Q2 last quarter, $230 million to $240 million, and we are providing unit sales in the range of 11,500 to 12,500 due to the improvements we are making to reduce unprofitable units combined with a modest increase in ASP similar to our Q2 results. As we focus on optimizing for GPU enhancements and SG&A leverage, we will continue to drive very strong year-over-year revenue growth in both powersports and automotive. We have seen that our ASPs for automotive fluctuates significantly as in the early stages of powersports caused primarily from the addition of buying direct from consumers and not having robust data in the early days to predict ASP with a high level of accuracy. Thus making it hard to predict what inventory we will acquire or sell and what prices until we have such data. As we gather additional data and improve our algorithms as we did it with powersports, we’ll see less fluctuation and additional margin expansion become predictable at scale. I’m proud to report that RumbleOn has officially surpassed 300,000 cash offers made since the program’s inception roughly two years ago. 100,000 of those 300,000 were made in Q2 alone and the marketing cost per cash offer continues to improve quarter-over-quarter. To put that into context, in Q2 2018, just one year ago, we made less than 30,000 total cash offers. We acquired over 98% of all powersports inventory direct from consumers through cash offers in Q2 and the early results and performance of cash offers for automotive in Q2 were very encouraging. Another exciting milestone for the company was in RumbleOn Classifieds. Within just nine months, our site became the third largest consumer listing site for powersports in the country, surpassing eBay with virtually no marketing spend associated. We are planning to add cars and trucks to the platform before the end of the year as well as deploying resources to drive buyers and sellers to the site. We believe that we can surpass Craigslist as the largest free listing site for consumer vehicles over time. We view RumbleOn Classified as an important addition to our model since we are already seen encouraging conversion results back into our core business of buying and selling these assets, all of which is exactly what we envisioned. We certainly do not believe that this industry is a win or take all opportunity due to the size and competitive nature of the vehicle market. We believe there will be many winners in the end, especially those with an online solution. That said, we believe that the company that can grow quickly and profitably will have a compelling long-term advantage. From our perspective, our focus on balancing margin expansion, operating leverage and disciplined growth is a very important strategy in our early stages. We feel that we are best positioned to take advantage and become the first major participant in the online space of vehicles to reach profitability. We are benefiting from increasing predictability in powersports as we scale the business, because our platform is aggregating more and more data, and automotive is already showing many of the same dynamics we saw in the first year in the powersports market. We view this as an encouraging sign as our powersports offering is now generating greater gross profit than it has been in previous quarters and can be viewed as a playbook for our automotive business to follow a similar trajectory. In the first four quarters of powersports sales, Q3 2017 through Q2 2018, we grew units from 313% to 2013 for a 543% growth. Since then, over the past four quarters, we have grown total unit sales to 3,982, an additional 98% growth. Powersports revenue trajectory has followed a similar growth path growing 290% over the first four quarters in 119% sense. A very important part of the story is that we have grown our GPU 38% over the same time. I would now like to turn my attention towards RumbleOn’s path to profitability. There are two tracks to reach profitability in this industry. First, through achieving operating leverage in SG&A and second by growing improving gross margin per unit. In our shareholder letter, we have detailed how we can do both of these, but I will take a minute here to reiterate a few of the key points. As we have already shown, we can clearly scale this business and we are now focusing our efforts on being the first online pre-owned vehicle provider to reach profitability. We expect our gross margin to expand as we gather more data and become more established. We have already proven we can sell anything we can acquire, but during this process we realized we need to improve our acquisition strategy as not all purchases are great purchases. As we experienced steady improvement in the accuracy of our data, we have seen that we are already improving on the percentage of vehicles that we purchase then sell at a loss. We previously experienced this dynamic on the powersports side when we saw unprofitable sales in as much as 30% of our early transactions, but we have since brought that down below 10%. We have seen a similar early result in automobile space during Q2. We’re in the second quarter; approximately 30% of all transactions were not profitable on an individual vehicle basis. We are confident that over the remainder of the year, we can improve this metric in a meaningful way through prescriptive enhancements. A part of this is of course, increasing sales to consumers over time. We have intentionally not been focusing resources into our retail channel so far, because we believe the biggest opportunity to be a major competitor is to first master the acquisition side of the equation. Sales to consumers remains our largest margin expansion opportunity and we fully expect to take advantage of this high GPU channel. Although in the near future, we are focused on growing margins through our agnostic first come first serve approach to the distribution network, we intend to shift our focus towards sales to consumers in 2020, which we expect will drive additional GPU upside. Our current retail margins are some of the best in the industry today. The margin simply becomes the report card of a successful acquisition. A seldom recognized fact is our retail powersports gross profit per unit for 2019 year-to-date is $2,106 on an average sale price of $8,477. similarly, our retail automotive gross profit per unit this year is $3,034 on an average sale price of $26,159. our team’s long history in the industry has caught us that to dominate on the sell side of the vehicle industry, you have to first dominate on the buy side. We think it should be considered that although retail sales bring higher GPU and display impressive per unit top-line economics, the SG&A levels associated with retail are significantly more expensive on a per unit basis than sales through the dealer channel. On a dealer sale, the base cost of goods remains the same. However, lower shipping costs substantially lower reconditioning costs, consumer guarantees and the cost of returns, marketing cost in the retail channel is a much higher and let’s not forget the additional headcount and CapEx needed to facilitate these transactions. We firmly believe that our agnostic distribution in fast inventory turn model insulates us to some extent, to market fluctuations and interest rates, new vehicle competition of rebates and incentives and many other potential market conditions that can from time-to-time affect dealers and consumers, and modify their purchase intentions. Put simply, unless you can garner levels of GPU that we presently have in retail consistently at scale, the net profit on a dealer transaction can actually be better. Again, our focus is buying and selling more vehicles than anyone and do it all profitably. If you match our first 24 months to that of our peers, we feel we have set the bar at the highest level to-date in the online vehicle space. Beyond organically growing our consumer sales via size of our inventory offering, selection and content, which drives organic growth, we see our finance offering with RumbleOn finance as an additional way to make the purchasing process more seamless for customers as well as another opportunity to increase our margins. In my previous comments about retail GPU, please keep in mind that we have just started to underwrite financing and funding on powersports and intend to launch automotive later this year, which we are confident will create additional GPU enhancements as it does for our peers. That additional GPU on top of our already stellar retail GPU puts us in a position to spend accordingly to make a major impact at the right time. Additionally, we have also been testing holding back a small percentage of our automotive inventory for up to 14 days to offer consumers additional time to purchase prior to dealers, but only if such data tells us a particular vehicle has compelling consumer demand, a well-searched value proposition and conditioned quality dynamics that provide a high likelihood of transacting. As you probably notice, a large part of our automotive selection online continues to say coming soon, which with no pictures or condition reports is not a viable retail sale opportunity. This has caused by our fast turn and although it will remain at some level over time as we grow our total inventory, it will be less prominent. Since we have only just begun testing this process on a small amount of inventory, we did not yet have any results of this initiative to share. despite holding back some inventory temporarily, however, we will continue to maintain our industry best days to sale below 30 days. Our other focus for reaching profitability is in regards to SG&A’s leverage. last quarter, we saw a massive growth in our revenue even beyond our expectations. Part of this growth came at the expense of increased SG&A that can be attributed to scaling any business at this early stage. I will save the remainder of our SG&A discussion for Steve to elaborate on. And with that, I’ll turn the call over to Steve.
Steve Berrard: Thank you, Marshall. because you can find a detailed discussion of our financials in our shareholder letter, I will not hit on key metrics and our outlook for Q3 and beyond. For the three months ended June 30th, 2019, revenue was $270.2 million as compared to $13.9 million for the same quarter last year prior to our acquisition of Wholesale in October and up 21% over Q1 2019. revenue from powersports was $30.3 million and automotive revenue was $233.9 million. Gross profit was $15.6 million or 5.8% as compared to $14 million in Q1 of 2019. on a per vehicle basis, powersports GPU was 1,047 or 13.8% versus 11.8% for Q1 of 2019. Automotive GPU was $991 or 4.2%. in the quarter, we incurred a net loss of $13 million or $0.58 per diluted share based on $22.2 million weighted average shares. Adjusted EBITDA for the quarter was a loss of $6.9 million. As a reminder, adjusted EBITDA defined as net loss plus interest expense, net of interest income, depreciation, amortization and other non-operating or non-recurring income and expense items. As of June 30, 2019, rumbleOn had $19.3 million in cash on hand. Now, turning to our outlook. consistent with our prior expectations for Q2, we expect total revenue in the range of $230 million to $240 million. in the third quarter, we expect total unit sales in the range of 11,500 to 12,500 units. This assumes that we will realize a higher ASP in Q3 as we focus on reducing unprofitable unit sales. We expect to reduce our net loss by 35% to 45% in the second half of the year as compared to the first half of 2019. We believe that the combination of the expanding gross profit that Marshall discussed along with leveraging SG&A will significantly improve our net loss. We will achieve operating leverage by refining our cost structure company-wide. In the near-term, we will focus on streamlining our backend processes through technological enhancements, leveraging efficient marketing channels and making technology improvements to benefit the customer experience. Although there is still work to be done, we expect that streamlining these internal systems, who create cost synergies across the entire organization in the near-term. We've leveraged low-cost marketing channels by focusing on the sell side rather than buy side of transaction from consumers. Finally, as we continue to improve our customer facing technology such as our cash offer tool, we will drive cost reductions while improving the customer experience. Marshall described many levers that we use to our advantage as we continue to expand gross margins while maintaining our rapid growth rate over the long-term. However, given the early stage of our life cycle, we may experience fluctuations throughout the year as we test optimal pricing, make adjustments to inventory acquisition, experience seasonality, and potentially other factors we may encounter during the year. I’ll turn the call back to Marshall for some final comments before we open the call to questions.
Marshall Chesrown: Thanks, Steve. Today, as you hopefully read our shareholder letter and now listen to our comments and evaluate the company’s growth and execution. We ask that you keep in mind that we are still in the very early stages of creating an extremely innovative business model designed to forever change the way vehicles are bought and sold online. We continue to learn more every minute of every day and thus, we adjust and make improvements quickly as we determine opportunities. We are disrupting not only age old business practices in the vehicle space, but we most importantly, are changing the culture, which has clearly been shown, truly needed in the eyes of our consumers. Steve and I are the largest private shareholders of the company and our management team’s compensation is largely dominated by stock. So, I assure you our priorities are aligned with everyone that has invested in rumbleon. based on our unprecedented early success, we feel that the shareholder value that will be created over the coming years will be stellar. Our team is very energized by the prospects ahead and we’re proud of our accomplishments to-date, which we feel is unmatched growth in the online vehicle space in our first seven quarters of operation. the management team is making clear and deliberate decisions based on the large dataset we have already gathered while leveraging the wealth of industry experience of our team for the goal of creating an enhanced shareholder value over time. our entire team has a single goal in mind. We fully intend to be the absolute industry leader in the acquisition and distribution of vehicles of all kinds, and to be the first online vehicle marketplace to do it profitably. Thanks for listening and operator, we can now open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from line of Ron Josey with JMP securities. Ron, your line is open.
Ron Josey: Great. Thanks for taking the question. I have a few if I could please. Just I want to talk about guidance and units in particular given the guidance to decline sequentially in 3Q and focus on more profitable vehicle sales. I understand autos are just starting here, Marshall, but just can you just talk about how many units or perhaps just time in autos that you think you need to start benefiting from the predictability that’s needed there, so you can mirror what you’re seeing in powersports, which was a great quarter. And also, if you could just repeat, I think you talked about a little more about why consumer sales at this point, maybe less profitable than dealer sales. Just if you could reiterate that and maybe just comment on the longer-term mix in terms of how you see consumer versus dealers. I think you talked about deploying marketing in 2020. and then lastly, Steve, goodness just where are you on improving the back-end tech as you look to improve overall profitability in back-half? Thank you guys.
Marshall Chesrown: Okay. I’ll try to not forget everything that you asked here. But let's start, obviously, we think that…
Ron Josey: Is there any problem?
Marshall Chesrown: We think that – no problem at all. Obviously, we think we had a great quarter and our strategy is clearly working. But with regards to the unit sales, we’ve represented, for quite some time that all the data and all the numbers show flattening in Q3, certainly traditional in the automotive market. There’s a lot of disruption in Q3 primarily on the new vehicle side, which obviously has a lot of impact on the pre-owned side in the form of increased dealer incentives and rebates and so forth. So, it’s always traditionally been a flat to best quarter and we did feel that the – that we wanted to be more focused on profitable growth. And with that said, we are obviously one of the main initiatives is to eliminate or not to eliminate, but to significantly reduce the number of transactions that we presently have that do not make money. Now, the reason that we are showing that as flat is because we are going to replace a certain percentage of those with the additional enhancements to our cash offer process. So what we’re going to basically do is we’re going to remove some volume out of the system that is clearly from the data not profitable and replace it with cash offers to consumers that we know have much better profit characteristics. With regards to retail versus dealer sale, I think that – a couple of things that we’re trying to demonstrate and make sure everybody is clear on is we are already at a level of retail sales without a significant back-end contribution, meaning finance contribution to that gross margin of significantly more mature companies. And we think what drives that or we think the data is clear that, as we have told you since the beginning, is by focusing on our acquisition strategy and making a better buy overall in aggregate, that we get the benefit of both that margin as well as the markup margin. If you look at our retail prices, everybody today to drive and garner leads in that space has got to be price competitive. It’s a less – it’s a little less sensitive on the powersports side just because the powersports business in general doesn’t have a great online presence of any kind. And they aren’t nearly as price-sensitive because of their aggressive, high-margin, low-volume business model across the different powersports franchises. So I think what we want to make sure everybody understands is we don’t feel comfortable today making the investment on the marketing side of spending upwards of thousands of dollars per-unit basis to drive traffic into that channel. We believe, over time, with sizable inventory, with a compelling value proposition, that we can drive a significant amount of traffic organically because of the way the search works with regards to content and pricing and et cetera. So we are – we know we can sell whatever we get our hands on. And so we are going to continue throughout the year to improve our gross margins, continue to turn extremely quickly, and then we have a multitude of initiatives in process to really move the retail consumer channel, both on powersports and automotive in Q1 and in the Q2. So, again, it’s about focusing resources. It’s about getting to the point of profitability and then scaling from that point. I do think it’s important and hopefully you’ve garnered it from our comments and our letter, all of what we’re talking to you today is very intentional in nature. I mean this isn’t – we’re not doing this on the fly. We have very solid data, whether it’s on SG&A, on a per vehicle, every line item identified on our SG&A of how we can leverage those, who’s responsible for improving those line items. And the same line items, although they’re fewer, exist on the gross profit side. And the gross profit per unit is – has the same opportunities. And we are running this business on a per-unit economics. And I don’t believe that you can improve it and get it to profitability unless you are laser-focused on that part of the business. Steve, you want to answer?
Steve Berrard: Ron, to your question on profitability improvement, the first thing – we broke it out into two buckets: one, gross profit per unit. Obviously, as Marshall covered, we will continue to focus on that. One of the things in the quarter that had significant impact is by moving into these new auction locations, they don’t have the same – they don’t generate the same gross profit per unit because there isn’t as much volume going through those auction lanes. And as a result, when you look at the quarter, we probably lost 0.5 percentage point just by using the new locations, if you will. Now they are continuing to ramp. And we believe in Q3 and Q4, they’ll get stronger. And that in itself, forgetting about eliminating the losers and the like that Marshall discussed, we’re going to get pickup just as those locations start to scale. On the cost side, we’ve been working on integrating the three organizations together. As we continue to do that, we’re starting to streamline our processes. And when you look at our overall cost structure, we have about $17 million between payroll and G&A, of which more than 45% of it is variable. And we’ve worked and been working on moving more of that variability into a more fixed nature type of expense, and we will start to see the benefits of that in Q3. The other thing is we have $6.5 million in Q2 of add-backs for one-time non-recurring items. At some point, during the next few days, as were pointed to the Q, I think people recognize that there’s probably $2 million to $3 million of those that probably will not reoccur. They will not be a tax on income. And as a result, I think when you add those things together, I think we move into that 35% to 45% that we discussed in terms of cost reduction.
Marshall Chesrown: The only thing I would add to that, Ron, in hopefully answering your questions is Steve’s description with regards to our distribution network. What we clearly see is that size and scale of these locations drives additional buyers. So in other words, if you have 100 units running a week in a new location and you’re running 500 in Nashville, we see that those 500 in Nashville perform at a much higher margin than to the new locations. But as we ramp those locations, we see them clearly coming up to the level of the kind of the base case, which is Nashville. So we continue to grow those. We do think that there’s a significant value in having a big representation, a large mix of inventory, which brings the buyers and creates the auction system, if you will, of having more people bidding on your products, thus, garnering higher gross profit.
Ron Josey: Got it. Thank you, Marshall. Thank you, Steve.
Operator: Your next question comes from the line of Steve Dyer with Craig-Hallum. Steve, your line is open.
Steve Dyer: Thanks. Good morning. Just following along on that point, so you talk about basically better efficiency at those locations, better GPU in Q3 and Q4, but also, I guess in the same vein, it will be on fewer units. So just kind of trying to figure out how that math works in Q3 and Q4 if you are pushing fewer units through there vis-à-vis Q2, but expect better profitability.
Marshall Chesrown: Yes. I think, two things. Obviously, we’ve covered in depth the effect of cash offers from consumers. I think that the size is very important, but I think the reduction of units that lose is probably the most important issue. We – if you think about it, Steve, I know you’re close to the numbers, we mentioned that we were in – started in powersports, we had 30% of the transactions lost money. Just so everybody understands, losing money on individual transactions is part of the automotive and the powersports industry. Nobody buys and sells these assets without some units not performing. To give you an obscure example. You buy a preowned truck today, one week later, the engine goes bad and now all of a sudden, obviously, you’re not going to make the intended margin that you acquired it with. So, those things just happen. But in powersports, we took that below 10%. We’re not suggesting that the 30% loss ratio today on cars and trucks is going to go below 10% in the near term, but we are going to make major moves to improve that from the 30%. And if you look at it this way, if you replace a vehicle sale that lost $1,000 with a vehicle that has the opportunity to make $1,000, it’s a $2,000 swing without changing your total volume. And that’s really what we’re projecting here is that we know the challenges in third quarter, but one other thing that’s important is we’ve known since we acquired our two acquisitions, in looking at their long-term data, consistently they have had a pretty significant downturn from Q2 to Q3. So we have to make some level of assumption that that’s market-driven if it happens year after year after year. We feel we can replace a lot of that with our cash offer tool, but how much we could increase from present levels or Q2 levels is just not known at this point. But make no mistake about it, we’re putting that lower volume number out there with a higher dollar unit because you can see that the revenue, we’re not projecting as being down from our guidance in the previous quarter. So hopefully, that gives you a little clarity.
Steve Dyer: Yes. That helps. I guess, as I look at cars or automobiles versus powersports, it would seem like there’s more ways to misprice them when you’re making cash offers, more moving parts, just a lot more that can go wrong with them, where they cannot be necessarily captured in your information inputs bin, et cetera. So what are some of the things that, the low-hanging fruit, I guess, so to speak, that you guys can do here in the next quarter or two that can really lower that loss ratio?
Marshall Chesrown: Well, first, your initial assumption, I would add a little bit of clarity to it. Keep in mind, because of the size of market on the powersports side, it really is a different dynamic. But we think certainly that it proves the model, right, that as you improve your, as you call them, inputs, you can improve the accuracy in which you are acquiring. As an example, on the powersports side, last year, when we removed, and I know we spent a bunch of time on the calls, we removed and we’ve started terminating a higher percentage of our inventory. We started off the same way on the auto side, where we really weren’t terminating anything in the first few weeks of launching that tool. We’ve now moved towards – now we know certain vehicles, high-mileage diesel trucks older than X with higher miles than Y, we know that those vehicles do not have a high likelihood of transacting at a profit. Thus, we either adjust the valuation in our tool to meet that or we eliminate it. And what we’re trying to do on both the kind of non-profitable units as we go forward is identify potential opportunities with maybe even other parties, where we can pass those leads and recover some of the cost to the people that specialize in junk, as an example. There’s a whole lot of people out there that are very, very good at that business. We don’t see that as a long-term growth opportunity for us. But we do think, over time, we can figure out how to monetize some of that and increase our overall GPU.
Steve Dyer: Got it. Okay. That’s helpful in thinking about that. Let’s see. So I guess just as it relates to auto cash offers. I guess of the 100,000-plus cash offers you made in Q2, are you willing or unable to kind of talk about how many were for autos? And then what are you initially seeing on the close rates of those relative to the, call it, high single-digit close rates on powersports?
Marshall Chesrown: We’re not going to break them out because of the future demand of that, but I do have a couple of things that I think are important to share. The challenges, if you will, on the early days of powersports cash offers are identical to the challenges that we see in the early days on the powersports side. So with regards to capture rate, meaning conversion to purchase and all those kinds of things, keep in mind, we weren’t even doing this for a few weeks on the car side. But I would – I think it’s really important that everybody understands that the biggest surprise for me in the quarter or really for our team is the cost to generate an automotive cash offer lead is significantly less on a per-lead basis than it is in powersports. I think that it tells me two – it tells us two things: number one, that our approach, via primarily Facebook and Google and all the different products that Google offers, is a significantly different approach than TV commercials, radio ads and billboards. But it appears that the cost to generate those cash offers is significantly better. And when I say – I don’t want to give the exact numbers. But if you think back about one of the questions that I think most of you had in your mind over our past meetings was, how are you going to compete with the likes of the people that are out there spending millions and millions of dollars on TV and radio and so forth to generate these cash offers? We see clearly, we’re going to be able to participate in that space in a very, very large way. And keep in mind, again, like we said in the letter, this is not a winner-takes-all situation. If the top three, which we certainly would put ourselves in, of people buying cars and trucks and motorcycles direct from consumers, if the total group, say, a year or two from now had 5% market share, it’s millions and millions of units. And so it’s just – it’s such a massive market that what we, I think we probably missed in some of our assumptions is that the sheer size of the demand out there drives the cost down even though maybe your cost per click might be higher the response rate on those clicks on automotive is significantly better than powersports. And we’re very happy with our cost of customer acquisition on the powersports side. So we really see it, as we try to – as we move forward and leverage that, we see it as a great opportunity, but we don’t want to just drive leads into a system that we are not prepared to handle and so we want to have an organized growth. It clearly – we used to say in the early days on the powersports, it appears that with pure dollars, we can just turn the dial whenever we want to see more traffic. I would tell you, we are experiencing that on automotive side on steroids.
Steve Dyer: Got it. Okay. Last one from me and I’ll pass it along. It looks like just your cash and I see your Q just dropped, but I haven’t had a chance to go through it. So the, call it, $36 million in cash pro forma after the most recent raise looks like it’s down to $19 million. Did you not draw as much in the floor plan? I’m trying to sort of gauge what was sort of from operations versus what may have been working capital or more equity in your inventory? Thanks.
Marshall Chesrown: Steve, if you'll indulge me, – I can, maybe walk you through cash burn for Q2, sorry if we start with – we start with the loss and I’ll do this on round dollars, but $13 million loss you had back about $3.2 million worth of non-cash items puts us at $9.8 million round numbers. On our inventory this quarter we increased inventory by $15 million. We only took $11.5 off the floor plan. So we wound up having a cash use or cash spend for inventory of about $3.5 million. So that put us at $13 million – $13.4 million for loss. We pay down payables. If you remember at the end of Q1, we’ve working on all these transactions and we’ve – obviously, we continue to integrate the acquisitions. With the raise, we paid down the payables and got everybody clean and started at least with a new set of vendors, a new set of terms. So we had about a $3.5 million, a $3 million cash use for that. So that put us at about $16 million burn. We had a $1 million technology spend, and we had about a $700,000 increase in other assets. So that put us at $18 million for the quarter. But I think, you can’t stop there. I think you've got a roll forward now. And what happens in Q3? And so in Q3, we’ve already given some guidance that we’re going to bring down costs and we’re going to increase profitability. In Q3, we’re not going to have the $1.4 million extinguishment of debt going against the P&L. And obviously – so the add backs will be about a $1.4 million. On the floor plan, the $3.5 million that we have, the cash we spent, $2 million of that is cars that we have not borrowed any money on the floor plan. So there are two issues. One, inventory in itself is probably not going to increase in Q3 over Q2, so it’s going to be a cash contributor as we bring it down. And we’re going to floor plan the $2 million worth of vehicles that we have not floor plan and that will be at 100%. As far as payable work down, obviously payables was a cash used in Q2, in Q3 and if you look back historically, we’ve always had payables as a cash contributor to ops. So we know, therefore, in Q3 when we look at it, we think that number is somewhere between $2 million and $3 million. We’ll still have our $1 million technology spend, but I think when you do the math around all that and if you plug in but you think the loss is, you’ll find that the cash burn is relatively new for Q3. And I guess the last thing I can tell you is, the cash we have on hand today is the most money we’ve ever had in the bank since we’ve been here. And we’re mindful of this march to profitability allowing us to make sure that’s more than adequate.
Steve Dyer: Very helpful. Thanks guys.
Operator: Your final question comes from the line of Lee Krowl with B. Riley FBR. Lee, your line is open.
Lee Krowl: Great. Thanks for taking my questions. Just first on SG&A, can you kind of help us understand which specific line items you expect to see leverage on in the second half, it looks like advertising and marketing were fairly stable, but G&A and compensation increase. So, just kind of curious across the line items in SG&A where you expect to see maybe flat or down in Q3 and Q4?
Steve Berrard: Lee, I think you go back and kind of breakdown what’s in SG&A, what’s in compensation because those were the two major areas where we have major opportunities. If you think about G&A as an example, you know more than half, probably closer to 60% of that G&A number is volume specific variability. It’s either on revenue being generated or units being sold. So obviously with the unit number in Q3, we’re going to get an automatic reduction of that. On compensation, more than 40% of the comp in our current system and we continue to work and move away from it is variable as well, it’s either driven by unit sales or revenue. So those two areas will benefit from a number of things. One, as we realign and move towards profitability and, we sell the best units we can for the highest profit. And the second thing is we’re streamlining this acquisition. We’ve made two acquisitions in a very short period of time and we’ll start to see the benefits of streamlining, putting business lines together, consolidating offices, and basically taking the technology that we developed to use that to not only enhance margins but more importantly to help in this streamlining of our cost and expenses needed to grow the business as we go forward.
Lee Krowl: Got it. And then just kind of an industry question, we’ve kind of observed the trough. The used auto market year-to-date a fairly tight demand – supply demand conditions. Maybe talk about how that impacted you guys in the quarter and perhaps in the second half as you know, you did allude to the fact that new becomes kind of a headwind in terms of the value proposition to consumers?
Marshall Chesrown: Yes, actually, I was more referring to it on the form of dealers because at the end of – at the end of a model year, obviously like I said, there’s tremendous incentives and different things that are driving the business, which just causes some fluctuation in how much inventory dealers have, don’t have, et cetera. I wouldn’t tell you that on the demand side. I think one of the challenges is everybody, all the retailers are trying to fit into a fairly tight window of ASP thus it drives high demand in that category. We have seen a significant change on the high end of the market. And obviously you probably noticed from our website, we don’t have a lot of that, that inventory for that purpose because it’s not – it’s not as predictable as we’d like it to be. Again, one of the thing with regards to inventory that’s important is, we don’t control what comes into our funnel. If you look at our average – our ASP, we’re higher than the likes of our peers, and what drives that is because like I said, we don’t control. We don’t tell people, hey, we’ll only give you an offer on a $15,000 to $20,000 car. We’ll give you an offer on anything from a Fiat to a Ferrari. So that’s part of, as we scale, what is driving the – moving around of ASP. The positive part of that is we’re providing inventory into the system that is not the typical inventory. When Carmax buys a frontline car from a consumer, they keep it on their frontline. We are making those available to all dealers, which is inventory that the average dealers don’t really get to look at. The majority of the vehicles available for dealers to buy regardless of the quarter, regardless of the seasonality, revolves around typically fleets, rental cars, bank repossessions, et cetera. What we’re bringing to the table to the dealer channel is a unique inventory. And we think that we’ll continue to have high percentage of sale rates and very manageable and controllable GPU going forward, because we are not – we are not reprocessing rental cars if you will.
Steve Berrard: Lee, if I could add one thing to your previous question for me, I think one area is probably to look in for Q3 is there’ll be a significant reduction in interest expense over Q2. One, we paid off or at least we wrote a check for $11.5 million. That’s gone, no more interest in that. We replaced that with that interest on the convert. But obviously, floor plan interest is variable in respect to size of the outstanding. And so when you look at interest expense, there’s probably going to be $1.6 million to $1.7 million delta from where it was in Q2.
Lee Krowl: Got it. That’s helpful. Thank you guys. The next question comes from Ilya Grozovsky with National Securities. Ilya, your line is open.
Ilya Grozovsky: Thanks. Okay. Just a couple of quick questions. What percentage in the second quarter of the car sales were unprofitable?
Marshall Chesrown: Approximately 30%.
Ilya Grozovsky: 30%. Okay. And then if we – and I guess, Marshall, you were saying that getting the cash offers is not the issue that, that it sounds like it’s going pretty well, but at the same time you guys didn’t really give us the number of cash offers. What kind of metric can you – that we could sink our teeth into? Can you put out there that gives us the visibility to feel the same way about your ability to get cash offers on cars that you clearly feel?
Marshall Chesrown: Well, I’ll answer two different things. Number one, we made a comment that 98% of all of our powersports inventory is coming direct from consumers. We do not intend to get to that level on the on the cars and trucks side. Keep in mind, our core business started off to be dealer to dealer business. So we’re going continue to scale our dealer direct purchases into the system. So, I think some numbers we’ve given out over the – in the past has been at scale we believe, we probably have a 50-50 mix of consumer purchases versus dealer purchases unlike the powersports at 98% and 2%. The 2% that’s happening on the dealer side into the powersports is primarily our national agreements with the likes of AutoNation and Sonic and others, where they are getting the opportunity to trade for motorcycles that they weren’t able to trade for in the past because they didn’t have a liquidity source. And we’re providing that. But it’s a very, very small part of our business. So to the question, we're obviously way too early to tell you numbers and percentages, but I would tell you that due to the cost it certainly has more than proven our model and our strategy. Now there are – there’s all kinds of differences in purchasing cars and trucks and we want to make sure we have our arms around reconditioning costs, freight costs, all those kinds of things. We have a lot of accuracy in that regard. But obviously the more data we get the better, the better we can be. So, I think, the sky’s the limit. I think the important part is we’re not willing to do it. We’re not going to buy vehicles just to buy them, and sell them for a revenue or for a unit count number. We’re going to do it for the process of making money. And believe me, there are some out there that that is not the main consideration. It’s about scaling, I will tell you the market is so big, you could buy thousands upon thousands of cars and trucks. If your main objective was to not have a clear march to profitability. And that’s obviously where our current focus is.
Ilya Grozovsky: Okay. And if we looked the other side of the equation that’s on the intake, on the sales side, obviously you guys have been selling cars on the site for about – a couple of months now. I think you rolled it out in May. How have the sale to consumers been going relative to ultimately bring cars to auction? Anything you could tell us there from a…
Marshall Chesrown: I think – I think, I look at sales as a, your opportunity kind of runs hand-in-hand with the percent of inventory that you have available. Our inventory available in cars and trucks over the last couple of months has been pretty much flat. As we grow that inventory, the retail sales as a percent of that will grow hand-in-hand almost identical to what has happened on the powersports side. It really is a game at the end of having the best selection with the best value proposition. I think the thing that we’re trying to point out in our comments in the letter, and on the call is, you know, we have – because of our acquisition strategy, we have a value proposition advantage. I mean if you buy – if your main source or even the majority of your vehicles are bought at auction and we’re the provider of that and we’re making money on those transactions, obviously we have a value proposition from acquisition. Secondly, keep in mind, when you buy at auction and there’s a hundred buyers online and there’s 40 standing in the lane to today, you acquire that asset at the highest possible valuation because the only way you garner that purchase is to pay the highest amount. And I haven’t seen a lot of pure successful models that have used that as their sole strategy for inventory acquisition, because when you pay the highest amount for your goods, it’s very, very hard to advance those from a GPU perspective. I think, you’ve heard me say many times, I believe it has been the secret sauce for Carmax for many, many years, well past 20 years now is they have a very high percentage and have since day one of profitable acquisitions direct from consumer. They use options to backfill need of individual products that they didn’t have the opportunity to buy from consumers. The data somewhere, we’ll probably do some of that as well. If you’re completely out of it, their products are very low on day supply of a certain product you might use the option to backfill that. But you can’t get to profitability in my opinion of 40 years in the business and less you buy it right.
Operator: This concludes our question-and-answer session. I will now turn the call over to Marshall for closing remarks.
Marshall Chesrown: I think, we’ve stretched this out probably as long as everybody prefers. We look forward to talking to many of you throughout the day today and we want to thank you for all your time. We are super excited about the quarter. We think we had a great quarter. Again, I’d stress that our moves in the business are purely intentional and they’re based on very good data that we think will certainly prove out to be a very, very profitable growth plan. So with that thank you again for your time and we look forward to seeing you or talking to you soon.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.